Operator: Thank you for joining us for this morning’s Navios Maritime Partners First Quarter 2013 Earnings Conference Call. With us today from the company are Chairman and CEO, Ms. Angeliki Frangou; EVP of Business Development, Mr. George Achniotis; and Chief Financial Officer, Mr. Efstratios Desypris. As a reminder, this conference call is also being webcast. To access the webcast, please go to the Investors Section of Navios Maritime Partners website at www.navios-mlp.com. You’ll see the webcast link in the middle of the page. The copy of the presentation reference in today’s earnings conference call can also be found there. And now I’d like to read the Safe Harbor statement. This conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical fact. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners management, and are subject to risks and uncertainties which could cause the actual results to differ from the forward-looking statements. Such risks are more fully discussed in Navios Partners’ filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Navios Partners does not assume any obligation to update the information contained in this conference call. Thank you. The agenda for today’s conference call is as follows: first, Ms. Frangou will offer opening remarks, then Mr. Desypris will review Navios Partners’ financial results. Next, Mr. Achniotis will provide an operational update and an industry overview. Lastly, we will open the call to take your questions. I’d now like to turn the call over to Navios Partners Chairman and CEO, Ms. Angeliki Frangou. Angeliki?
Angeliki N. Frangou: Thank you, Laura, and good morning to all of you joining us on today’s call. We performed well during the first quarter of 2013. The shipping and the commodity markets continue to be presented with challenges, yet we found the Navios name and brand is a distinguishing factor in difficult markets (inaudible) and we engaged for the long-term, because of the certainty we provide. As a result, we produced heavy result in recently announced quarterly distribution of $0.4425 per unit. Our annual distribution of $1.77 provides a current yield of about 12%. This yield is extremely attractive compared to the Alerian MLP Index, which reflects an industry average yield of about 5% and 25%. We are committed to our current distribution for 2013 and believe we will benefit from investors renewed enthusiasm for shipping. As you can see from slide two, Navios Holdings owns about 23% of the equity of the Navios Partners. With the assistance of our sponsor, Navios Partners has become a key player in the dry bulk industry. Today, Navios Partners has a market capitalization of about $950 million and an enterprise value of about $1.1 billion. Navios Partners has a conservative balance sheet with net debt representing only 24.3% of the charter adjusted vessel volume. Consistent performance has enabled Navios Partners continued access to the capital market and provided Navios Partners the ability to grow its fleet and cash flow. In fact, since Navios Partners went public in November of 2007, we have increased our fleet more than four times. Today, we control 25 vessels. The average charter duration of our fleet is about three years. The market environment reflects growing overall demand for transportation services. For example, China continues with record breakings steel production. Furthermore, ton miles will increase because of the trailing Chinese iron ore inventories plus an emphasis on imported iron ore. Although vessel supply weighs heavily on the short-term outlook, scrapping of all the vessels continues to add balance to the market. 2012 proved to be a record year for scrapping at almost $34 million deadweight tons, and we are on pace to equal or surpass that amount in 2013. Also the order book is not healthier reflecting drastic reduction in vessel deliveries for 2014 with significant [slippage] likely for 2013. With the shipping recovery on the horizon, Navios Partners is along with some of its peers uniquely positioned to take advantage of this market recovery. On slide three, we set forth business development within our company. We raised $73.2 million of gross profit from an equity offering in February of 2013. We put – we have (inaudible) to good use. A word on our profits, as we have announced at the back, we have been actively seeking appropriate vessels in the open market for Navios partners. As a result of the recent devaluation of the Japanese yen, we understood that some of our Japanese commercial partners were able to transact for the first time in a few years. So we travel to Asia and we met with them. As a result of this conversations, we were able to acquire four vessels from leading Japanese shipyards with an average age of 3.75 years. I have a couple of observation about these transactions. First, as you can see, the total consideration was $108 million for two new building vessels, one cape and one supramax and two relatively young vessels, which is an attractive entry point. On an inflation-adjusted basis, vessels today are as active as they have been in the last 30 years. Also when you compare our price for the cycle in the Japanese vessels to more recent purchases from Chinese shipyards will come from the (inaudible) we are able to achieve real value for our investors. Second, we secured this block of vessels for about 10% deposit and agreed to take delivery of these vessels in the fourth quarter of this year. We expect heavier charter rates then and for that reason we have not secured yet any employment for this vessel. This flexibility should allow us to opportunistically employ the vessels at a more favorable rate, an attractive entry point and expected financing allows to establishing Navios cost breakeven rate of $8,973 per day per vessel. This breakeven provides significant potential accretion. Every $1,000 per increase in charter rate above the cash breakeven rate will result to $0.02 accretion to our unit holders. (inaudible) average market rate for this vessel of around $12,000 per day, we will earn more than $0.06 per unit of additional cash flow for all our unit holders. I am sure many of you saw the press release regarding the purchase of distressed assets by affiliates of Navios partners from HSH NordBank. This is a novel transaction that allows HSH to take vessels from the hands of distressed ship owners and put them in a more stable and capable hand. At this stage, Navios Partners did not participate in this transaction because of the nature of the mix fleet. However, we will continue to be part of this conversation and participate in transactions within the local MLP investors for appropriate assets. During the quarter, we also prepaid $50 million on our DVB Commerce Bank facility thereby resulting in a reduction in cash flow breakeven of $1,960 per day per vessel in 2013 and $3,492 per day per vessel in 2014. Slide four shows a multiple ways we have been able to grow our fleet in distributions. Since our IPO, in November of 2007, we have grown distributions by 26.5% and our fleet capacity by 325%. We have done so with the assistance of our (inaudible). We have also exercised both these options that we had in our chartering vessels. More recently, we have been active in the S&P market and we will continue to use this market to improve our fleet as opportunities arise. At this point, I would like to turn the call over to Mr. Efstratios Desypris, Navios Partners’ CFO, who will take you over the results of the first quarter of 2013. Efstratios?
Efstratios Desypris: Thank you, Angeliki, and good morning all. I will briefly review our unaudited financial results for the first quarter ended March 31, 2013. The financial information is included in the press release, and is summarized in the slide presentation on the company’s website. We had another quarter with a strong operational and financial performance. As a result of the continued growth in our operating metrics and the measures taken to lower our cash breakeven, we remain committed to a minimum annual distribution of $1.77 per common unit for 2013. As shown in slide five, revenue increased by 4.8% to $50.3 million, mainly due to the 314 more available days for the first quarter of 2013 compared to the same quarter of 2012. EBITDA increased by $0.3 million to $37.1 million. Net income decreased by $0.7 million to $16.2 million. The decrease in net income is mostly attributable to the increase in depreciation amortization expense by $1.2 million due to the increased fleet. Operating surplus for the quarter ended March 31, 2013 was $31.2 million, 5.4% higher than the corresponding quarter in 2012. Our fleet continues to perform well. Vessel utilization for the first quarter was 99.8%. Turning to slide six, I will briefly discuss some key balance sheet data for March 31, 2013. Cash and cash equivalents including restricted cash was $75.2 million. Long-term debt, including current portion, decreased by $55.9 million. This was mainly due to the $50 million debt prepayment made during the quarter. This prepayment had an effect of lowering our cash breakeven for 2013 by $1,960 per day per vessel and $3,492 per day per vessel for 2014. Following the above prepayment, the capital repayments for the remainder of 2013 amounted to $0.8 million. Additionally due to the prepayment, we expect that we will have savings of approximately $2 million in the next years due to the lower interest expense. Net debt-to-asset value on a charter adjusted basis decreased to 24.3% at the end of the quarter. As of March 31, 2013, we are in compliance with the financial covenants of our credit facilities. As shown in slide seven, we declared distribution for the first quarter of $0.4425 per common unit. This represents a 26.4% increase over our minimum quarterly distribution. The record date for the distribution is May 10 and the payment date is May 14, 2013. Total distributions for the quarter amount to $29.9 million. Our common unit coverage for the quarter was 1.08 times. Our consistent strong financial performance enable us to remain committed to a minimum annualized distribution of $1.77 per common unit for 2013. I have to remind you that for U.S. tax purpose, a portion of our distribution is treated as a return of capital. Also, we reported a cumulative annual distributions to common unit holders on Form 1099. On slide eight, you can see the consistent significant growth in all operating metrics since our inception. The strong growth has enabled us to pay dividend distribution uninterrupted by market conditions. Furthermore, we have increased our quarterly dividend distributions nine times since 2008. Our current annual distribution of $1.77 provides for an effective yield of 11.9% based on yesterday’s closing price. Slide nine demonstrates our strong relationship with key participants in our industry. We have quality charters with an average remaining period of almost three years. These charters are spread among the diverse group of counterparties. In addition, we have insured certain of our long-term charter-out contracts for credit default with either a AA rated insurance company in the EU or our sponsor, Navios Maritime Holdings. In slide 10, you can see the list of our fleet with the contracted rates and the respective expiration dates per vessel. Our fleet consists of 25 vessels, eight Capesizes, 14 Panamaxes, and three Ultra-Handymax vessels. We have a relatively young fleet with an average age of 6.5 years as compared to the industry average of 9.7 years. We have currently contracted 84.8% of our available days for 2013 and 40.5% for 2014. We feel that we have positioned the company well in order to take advantage of an expected market recovery. The expiration dates are staggered and the charter durations extend to 2022 the latest. I now pass the call to George Achniotis, our Executive Vice President of Business Development to discuss the industry section. George?
George Achniotis: Thank you, Efstratios, and good morning all. Please turn to slide 11. World GDP continuous to be driven by developing economies, which now contribute a higher percentage of total world growth than the developed economies, representing over half of the global consumption of most commodities. Recently, the IMF slightly lowered its forecast for world growth to 3.3% for 2013 and 4% for 2014. Emerging economies are projected to grow at 5.3% in 2013 and 5.7% in 2014. The Chinese economic growth is unchanged at 8% in 2013 and 8.2% in 2014. Turning to slide 12, the primary engines of trade growth continued to be China, India and Brazil, with other emerging countries having strong growth. Dry bulk trade has expanded by an average of 5.5% per year in the last decade since China joined the WTO. Consensus forecast for 2013 are for global dry bulk trade to grow approximately 5% and ton mile growth of about 7%. A similar growth rate is estimated for net fleet growth, leading to balance supply/demand dynamics. Please turn to slide 13. In order to continue the urbanization and industrialization, China and India continue to invest heavily in infrastructure throughout Latin American, Africa and the Middle East. Both countries are securing supply lines of natural resources with these infrastructure investments to ensure continued growth. As a larger portion of world trade is occurring between emerging and developing economies, trade patterns are shifting eastward and southward. According to new figures from the World Bank, the value of exports from developing countries to other developing countries, the South/South trade, now exceeds exports from poor countries to rich ones, South/North trade. Moving to slide 14, the continued development and urbanization of China will contribute significantly to steel consumption in 2013 and beyond. Infrastructure, housing construction, and consumer spending growth will underpin future development. Underlying this trend is a continued expansion of Yangtze River cargo traffic, which reached another record of 1.8 billion tons carried in 2012. Crude steel production in China in Q1 was about 10% more than the same period last year. China imported 186 million tons of iron ore, about equal to the amount imported in Q1 2012, but imported stockpiles have been drawn down steady from 98 million tons at the end of August 2012 to about 67 million tons at the end of the last week, the lowest level since Q2, 2009. Domestic iron ore production increased 12% year-on-year, but decreased 22% between Q4, 2012 and Q1, 2013. Going forward, the substitution of low quality domestic iron ore with imported ore is expected to grow and will increase the tons carried and ton miles. The chart on the upper right shows estimated new iron ore mining capacity from Australia and Brazil, graphed against the expected decline of domestic Chinese iron ore mining. Most of our projected 2013 increase in iron ore export capacity from Australia and Brazil will occur in the second half of 2013. Turning to slide 15, India has taken initial steps to industrialize and urbanize. As you can see on the lower right hand chart, India is expected to increase its urban population to 590 million people by 2013. That means India will have to build about 1.5 New York cities per year during that time. To keep pace with the expanding steel and electricity production, Indian coal imports, shown on the left hand chart, have increased at a 24% compound annual growth rate between 2006 and 2011. According to the Central Electricity Authority of India, substantial demand will continue as 65% of current planned new power generators will be coal-fired. India currently generates 78% of its power using coal. Turning to slide 16, low freight rates, expensive fuel, and high scrap prices led to record scrapping of 33 million tons in 2012. Scrapping rates for older, less fuel efficient vessels have continued at very high rates this year. Through April 18, about 8.7 million deadweight tons was scrapped. If this trend continues, scrapping could once again exceed 30 million deadweight tons in 2013. The current rate environment should keep scrapping levels high, as about 12% of the fleets is over 20 years old providing over 81 million deadweight tons of scrapping potential. Of note is that the current 2013 scrapping totals already include 12 ships that were less than 20 years old, four of that were less than 15 years of age including one that was 10 years old. As demolition prices appear to depend on over steel prices and not only supply of vessels, they are expected to remain high, thus making it ecomically logical to scrap older less efficient vessels. Moving to slide 17, 2012 non-deliveries amounted to 30%, resulting in net fleet growth of 10.3% the, the lowest in the last four years. Net fleet additions this year expected to be lower than last year. Q1 non-deliveries amounted to 48%. This combined with high scrapping means that net fleet growth should balance with the expected increase in demand during 2013. Over 60% of the order book is expected in the first half of 2013, and then declines dramatically through 2014 and beyond and is expected to remain that way as banks continue severe restrictions on new building loans. Moving to the next slide, slide 18, provides a perspective on the rate environment and considers the impact of supply-demand equilibrium on rate recovery for 2013. As we all know, for any rate recovery to be meaningful and lasting, fleet growth rates need to fall below trade growth rates and certainly a global GDP is projected to increase in 2013 and 2014 at 3.3% and 4% respectively more, from the more subdued rates of 2011 and 2012. Today the improvement has been moderate. However, the rate of change suggests that demand for dry bulk will increase in 2013 as new building deliveries continue to decelerate and scrapping remains at the record levels. In sum, we note that for the first time in four years these are expectation that net demand will exceed supply, consequently rate levels could pick up during the course of 2013. We note these as these conditions were not evident over the past few years. Please now turn to slide 19. Q1 showed EBITDA fall to its lowest quarterly average since 1986 to $796 with very uneven earnings between the vessel sizes. Capesize earnings slumped to a six month low in March to $4,210 per day on the back of over 30% reductions in both Brazilian iron ore and Columbian coal exports due to weather drag issues. In contrast, both Handymaxes and Panamaxes benefited from seasonal strength from South American grain exports and Pacific Basin coal movements. Handymaxes reached a seven month value of over $10,000, while Panamaxes improved from a low of just over $5,000 per day at the beginning of February to about $9,700 per day at the end of March. Brazilian, iron ore exports were reduced due to seasonal weather and one-time permitting issues. While I recently stated its commitment to achieve the same level of iron ore exports as 2012, which implies significantly increased Brazilian ore shipments through the rest of 2013. Combined with higher Australian ore exports, higher Colombian coal exports and unexpected decline in deliveries in the second half of 2013, this factor seem to indicate more demand for ships throughout the remainder of this year. This concludes my presentation. I would now like to turn the call over to Angeliki for the final comments. Angeliki?
Angeliki N. Frangou: Thank you, George. And this concludes our formal presentation. We’ll open the call to questions.
Operator: (Operator Instructions) Your first question comes from the line of Michael Webber of Wells Fargo.
Michael Webber – Wells Fargo Securities LLC: Hi, good morning, guys. How are you?
Angeliki N. Frangou: Good morning.
Efstratios Desypris: Good morning.
Michael Webber – Wells Fargo Securities LLC: Hey, I wanted to just kind of jump in and talk a bit about the deals here and forgive me, if you mentioned any of the details in your commentary. I don’t think you did, but first maybe the same seller on all four assets, and then you mentioned likely getting financing in line with where you have any current assets, if the deal contingent on finding financing. I don’t know you have a cash balance on hand now, but not quite enough to get it done. Would you look for a bridge or existing facility to finance that in the near term?
Angeliki N. Frangou: We already are in discussion with a bunch – this is formalities of finalizing financing. And also don’t forget, we still have $75 million in our balance.
Michael Webber – Wells Fargo Securities LLC: Yeah.
Angeliki N. Frangou: It will not be a very difficult, we just need about $35 million to complete this, which will, we know, we will be getting far more financing than that. Absolutely, still you’re talking about new building license that’s delivering in Q4. So, good point. Japanese vessel, Imabari build, so this is a good quality vessel that you’re actually getting at prices that are, I’ll say near historical lows for the 30 years, and also you’re getting Japanese top quality vessels versus prices reduction from other yards.
Michael Webber – Wells Fargo Securities LLC: All right. And it is, is the same seller on all four?
Angeliki N. Frangou: Three are the same, one is different.
Michael Webber – Wells Fargo Securities LLC: Okay.
Angeliki N. Frangou: But three are some Japanese-owned.
Michael Webber – Wells Fargo Securities LLC: Got you. Okay, and so you’re expecting to get pretty similar financing what you have on your books now. I mean, it seems a bit of a tall task, I guess, for uncharted rival assets getting north of 50% leverage in this environment. I mean, is that a function of just Navios, and the credit quality there, or maybe can you give a little color on what you’re hearing in terms of terms. It just seems like that that would be more difficult in this environment?
Angeliki N. Frangou: I think we can get – we would get up to 6% finance. I mean, group it was done similar transactions and usually we work with existing (inaudible) a little bit less on when vessels a little bit older…
Michael Webber – Wells Fargo Securities LLC: Got you. All right, that makes sense. You mentioned looking at the chart of these a bit later and they delivered, and when hopefully rates have improved. And along the lines of last couple of third-party deals you guys have done, where you kind of picking up cheap market leverage that could potentially bolster distribution coverage and if and when we get a recovery in rate is basically the best you can do in this environment. What level do you need to see rates to actually lock these up longer-term and actually just guarantee they are going to be at least to some degree accretive to distribution coverage in 2014? Is it – maybe on a return basis, can you just talk a little bit about what you’re looking for in rates, to actually lock them up on something beyond spot?
Angeliki N. Frangou: One thing that’s obvious is of the size issue, lock rates for longer-term. That’s realizing – realizing what we have done from the last year when we implementing the strategy. We have got six vessels on the market, at very good values we believe. And today, you have a breakeven of around actually sales are 9,000. So if you go to Panamaxes historical 20-year average is 2,000, you have 6% (inaudible), but they’ll give you like gross, like 15,000, you have $6,000 from the breakeven. That gives you with a $0.02 per $1,000, $0.12 affiliation to all unit holders. So you realize the strategies as we have done. And as we’re moving in second half 2013 and 2014, our breakeven or replenishment of our cash flow, will be, will come down and we see (inaudible) and at rates that are very achievable today.
Michael Webber – Wells Fargo Securities LLC: Got you. Okay. Now that’s helpful. You guys have obviously been, been very busy and on all three Navios companies, in terms of, I guess on Navios Partners specifically, and these kinds of deals, are there more out there like this, you kind of give that indication with the NNA and NM, that that was kind of the start of a platform, and there are other things you could do, there’s obviously a different animal that have ever deals like this, more kind of on block transactions, do you guys think you could advantage of this year?
Angeliki N. Frangou: We do believe that there will be transactions. We have two areas of opportunities. We see the Japanese market with the yen, I think it’s moved to 100. It will unleash other vessels because book value now make sense and we’ll see transactions happening. We show, we were one of the first company to react very quickly and I think we’ll see more transactions from that area as you know Navios has a long tradition in this country. We are the preferred partner in and out of the bills, most of this has even in the market, they are dumped directly to us, and some various announcement by other affiliated companies, we have seen that Novios has managed to crack the German ranking system. And we have, we have a fair company outside Germany. We’re able to do a transaction there. So I think we have good choice of vessel. The reality is that we’re very careful on any expansion, we’re a disciplined buyer, we’re not on the other side, we’re not afraid of stepping in when we see an attractive transaction.
Michael Webber – Wells Fargo Securities LLC: All right. Now, now you guys certainly been busy. Just one more for me, I will turn it over, the deals just to make sure, just to double check, these are falling outside the balance of the revised insurance policy correct, whatever you guys do sign on those assets, on the new assets?
Angeliki N. Frangou: This is not in question, just five and this is both vessels in the market then you’ll do. As you remember, and the issuances, there was never a cover for lesson again. So, there is no charter here. This is a straight deal.
Michael Webber – Wells Fargo Securities LLC: Right now, I’m saying whenever you do sign them M&A, would it fall outside the balance of the revised insurance policy?
Angeliki N. Frangou: Yes, yes. It will be outside.
Michael Webber – Wells Fargo Securities LLC: Okay. Great. Thanks. I’ll hop back in the queue. Thank you, sir, thanks for the time.
Angeliki N. Frangou: Thank you.
Operator: Your next question comes from the line of Christian Wetherbee of Citi.
Seth R. Lowry – Citigroup Global Markets Inc.: Good morning. This is actually Seth Lowry in for Chris. If I could follow up on the last round of questioning, I was just wondering could you ever envision a scenario, where you came across the right opportunity and maybe it’s Navios Partners pairing up with Navios Holdings or some sort of structure where you could potentially invest in assets outside of dry bulk or maybe just Navios contributing a bit of capital to a structure like that if the right deal came along. I’m just wondering if you have any appetite for deals of that nature?
Angeliki N. Frangou: We value our investors and we care about cash flow. So, any opportunity that comes along will be value in its own merit. And now we are not, it’s a matter of cash flows and what potential we can provide to our shareholders and investors.
Seth R. Lowry – Citigroup Global Markets Inc.: Okay. Fair enough. And then, if I can just switch gears more towards the current market, you have three or so vessels coming up for renewal in the second quarter here, I was just wondering, if you have any update as to what level those maybe chartered at, and what duration, and what’s your near term plans are for the immediate three?
Angeliki N. Frangou: I mean, you can see the ones that are coming will be somewhat between 11,000 to 12,000 for approximately a year and differ in six months or a year and we have seen a pick up on the rate of five to seven months, and that was in the report. And on the spot market if you see Kevin, in the beginning of the year we started the DBI at 700, today about at 900. So you have seen modest recoveries on a very low level. We believe that as yet as we approached the Q4, you will see a little bit of a better market gradual recovery.
Seth R. Lowry – Citigroup Global Markets Inc.: Okay. And then I guess on the back of that if I could ask more of an industry question, have you seen any further indications of dry bulk players out there maybe with higher marginal costs than you potentially weighing up vessels or do you think this recent uptick in the market has maybe stunted that at all?
Angeliki N. Frangou: You mean, if we have seen other owners picking up vessels or other owners having…?
Seth R. Lowry – Citigroup Global Markets Inc.: Parking capacity, not using the vessels just given that they can achieve cash for given rates, other players with higher marginal costs, I mean have you seen that in the marketplace or are the other players hesitant to park vessels just given the strength in the market recently since the February lows?
Angeliki N. Frangou: We have not seen a lot of laid up, I mean, we have seen a lot of slow streaming, which is what we’ve seen that industry, and then we have seen in the recent months an extra slow steaming has been abandoned and we have going to economical seats. So there is no coal laid up for dry bulk vessels in an extensive way. And we have seen the market moving from very slow steaming to echo street.
Seth R. Lowry – Citigroup Global Markets Inc.: Okay. Great, thanks, I’ll turn it over.
Angeliki N. Frangou: Thank you.
Operator: Your next question comes from the line of T J Schultz of RBC Capital Markets.
T. J. Schultz – RBC Capital Markets: Hi, just a couple of things, I guess first on the flexibility of delivery dates on the new acquisitions. Two things really, I guess, first on the new buildings, just unclear those two are scheduled to be completed in the fourth quarter this year or is completion sooner and you’re able to delay delivery, and then maybe if you could just expand on what made you all center on kind of fourth quarter of this year for ultimate deliveries to begin?
Angeliki N. Frangou: We have managed to get the vessels for Q4, maybe the vessel was earlier, we are receiving the Capesize in the most attractive time and Supramax in the beginning of next year, which is also very appropriate. Q4 usually is a stronger quarter and we have seen it and we are running it now at about 50% non-deliveries as George explained, which is quite substantial, and you are having scrapping that is running around 30 million deadweight tons. So, this two characteristics as the year develops, I think will create a better environment for our vessel. The Chinese stockpile for iron ore is all-time low that will be a helpful development because in the second half, we’ll most probably see a lot of ton mile increase due to the iron ore. So, due to the conditions we’re seeing, the market we’re cautiously optimistic and we’re optimistic for the fourth quarter that is anyway seasonally up.
T. J. Schultz – RBC Capital Markets: Okay. And then, I guess maybe for Efstratios on the credit facility that was amended in March, is there any changes to the covenants that are in there, or what’s our event file?
Efstratios Desypris: No, there is no change in the covenant. I guess, the only thing that we did was prepay portion of the facility. In this way, you will see that we have reduced substantially our breakeven by almost $2,000 per day per vessel for 2013 and almost in $3,500 per day per vessel for the next year. And we reduced of course a cash flow nature of the Company for the next couple of years. But the package there, the covenant package and the other terms of the facility, you remember that the facility has a margin of 1.8% to 2.05% over LIFO, which is something unique, this remain changed.
T. J. Schultz – RBC Capital Markets: Okay. Thanks.
Efstratios Desypris: Thank you.
Operator: Your next question comes from the line of Joshua Katzeff of Deutsche Bank.
Joshua Katzeff – Deutsche Bank: Hi. Good afternoon.
Angeliki N. Frangou: Hello.
Joshua Katzeff – Deutsche Bank: Just wanted, I guess quickly follow-up on the prepayment, just to be clear that, the only reason for the prepayment was just to reduce the cash breakeven?
Angeliki N. Frangou: Yes. It made sense to us, we are substantially reducing our breakeven and this is to create a better visibility for our investors knowing that for the next two years we’ll have quite substantially lower breakeven.
Joshua Katzeff – Deutsche Bank: Yeah. And, then I guess, with regard to your new facility that, let me guess you are out of the market for the acquisition, I guess maybe, can you give a little bit more color on expected margins. I know you said that it’s going to be similar to your existing facilities, but I guess with loan margins that close to two of your best bets significantly below market. Do you think you can get margins at similar levels?
Angeliki N. Frangou: No. We have calculated in Germany around 3% in and around 3% which is a good margin for today’s market.
Joshua Katzeff – Deutsche Bank: And then I guess maybe what the new building ships that you placed your orders for, did those have the long stroke engines in there, I mean, are these, I guess eco issue type ships or are they kind of maybe a little bit older design.
Angeliki N. Frangou: In the industry Imabari vessels are based in Imabari is top of the line more economical vessel and it’s the benchmark for the whole industry. So these vessels will have very attractive and very good speed, and you can further do modifications to further improve. So we get a vessel today because really, real ecovessels is from 2014, today is very nice and giant vessel with extremely attractive and good consumption, I mean, Imabari is considered the leading shipyard for construction and the best design for the Capesize.
Joshua Katzeff – Deutsche Bank: We definitely heard that from other owners that’s in the Japanese ships and so I guess there is already similar consumption data for the 2006, I guess 2005 build ships there, did they have solid consumptions?
Angeliki N. Frangou: Yes, their own Japanese built Imabari and Tunasi and their good quality vessel that will realize the addition of this vessel in our fleets.
Joshua Katzeff – Deutsche Bank: And then I guess maybe shifting gears to, I guess distribution, distribution coverage. Can you maybe talk about the reduction in the CapEx reserve and what you’re about and I guess how you’re calculating that now?
Efstratios Desypris: As we’ve stated in the past that CapEx reserve is always reassessed at the end of each year in order to take into account the current market values of our vessels and of course what has been accumulated over the last years for replacing of the fleet. So over the year that people have reduction of American market value and I’m not sure due to the effect of capital accrued significant for the replacement of our vessels, it came a little bit down here, but as I said this is a yearly process and every year we reassess what is need to be accrued.
Joshua Katzeff – Deutsche Bank: Okay. So it’s...
Efstratios Desypris: It’s taken up to quarter level and this is how it’s done.
Angeliki N. Frangou: I don’t think you will have that next year.
Joshua Katzeff – Deutsche Bank: Okay. And then just one last question and I guess just thinking about post transaction pro forma cash, we should assume $50 million little more for the acquisition, so you are left with I guess $25 million in cash?
Angeliki N. Frangou: Yes.
Joshua Katzeff – Deutsche Bank: Okay. Great. I appreciate the time. Thanks.
Angeliki N. Frangou: Thank you.
Operator: (Operator Instructions) Your next question comes from the line of Ken Hoexter of Bank of America Merrill Lynch.
Wilson Chen – Bank of America Merrill Lynch: Hi. Good afternoon. This is actually Wilson Chen, sitting in for Ken. I got a question in on, post these four vessels, (inaudible) vessels, is an obvious content to you, kind of take these adjust them or if I just do some quick back of the envelope math $225 million in cash left in the balance sheet and any cash you generate throughout the year, do you guys have more of an appetite to look for one or two additional vessels depending on how much cash you have or are you more content to just digest these for the time being.
Angeliki N. Frangou: As we always said, we are opportunistic about the vessels, in the previous quarterly call we said that we, we will acquire a number of vessels, we already have executed in strategy and this is a process that we assess all the time. We are not aggressive, we wait, we assess the market and we enter at an appropriate time.
Wilson Chen – Bank of America Merrill Lynch: Understood. And if I can I have a follow-up question on just besides for how demand is, prior to the announcement about these four vessels, have your counter-parties expressed any more interest in charter line capacity later in the year, maybe ahead of anticipated higher rates or can you give us any color on that?
Angeliki N. Frangou: One thing that we can tell you that if we want to charter your vessels for three to five years, there is a lot of counter-parties that would like to take your vessels. Of course, you’re logging in as relatively at low level of the market. So, this is one of the issues that we know there is expectation for the market to recover and you need to be careful of how you will actually redeploy your vessel so that you maximize your investment or you find an appropriate level to fix the vessel.
Wilson Chen – Bank of America Merrill Lynch: Great. Thank you.
Angeliki N. Frangou: Thank you.
Operator: At this time, there are no further questions. I will now return the call to Ms. Frangou for any closing remarks.
Angeliki N. Frangou: Thank you. This completes our first quarter results.